Operator: Good morning. My Name is Nikisha, and I will be your conference operator today. At this time I would like to welcome everyone to the Second Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be an question-and-answer session. [Operator Instructions]. In consideration of other participants please limit your questions to two to three questions per queue. You may queue in again for additional questions. Thank you. I would now like to turn the call over to Mr. Jack Jurkoshek. Thank you sir, you may begin your conference.
Jack Jurkoshek: Good morning everybody. I would like to thank you for joining us on our 2008 second quarter earnings conference call. As usual a webcast to this even is being made available through the company board room service of Thomson CCBN. Joining me today are Jay Collins, our President and Chief Executive Officer who'll be leading the call this morning, Marvin Migura, our Chief Financial Officer and Bob Mingoia, our Treasurer. This is a reminder, remarks we make during the course of the call regarding our earnings guidance, business strategy, plans for future operations and industry conditions are forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. And I'm now going to turn the call over to, Jay.
T. Jay Collins: Thank you, Jack. And good morning. Thanks for joining the call, it's a pleasure to be here with you today. We achieved record second quarter earnings which were above the mid-point of our guidance range and reflect the high demand we are experiencing for our subsea services and products. Net income of $52.1 million was higher than the second quarter of 2007 and over 25% above that of last quarter. Year-over-year earnings increased due to growth ROV, subsea products and inspection operating profits. The sequential quarterly income improvement was broad based as all six of our business segments contributed. Our ROV and inspection businesses achieved record quarterly operating income results. We continue to expect, achieve a fifth consecutive record year of EPS in 2008 in the range of $3.45 to $3.65. In the mid-point our guidance range is down less than 3% then what we indicated previously. We have lowered our annual subsea products operating income expectations to $15 million to $20 million from $25 million to $35 million. This revision to our products growth estimate is a result of a combination of events that have happened and our expectations for the second half of 2008. These events include the follow. Subsea products contributed lower than expected operating income in the second quarter. At the end of June our backlog although up 5% from the end of the first quarter was lower than we expected. While we anticipate improving operating income margin for the second half of the year we no longer expect our annual margins to be higher than those achieved in 2007. Even with the lowered earnings growth rate for subsea products the mid point of our guidance would equate to 19% year-over-year growth for this segment. The underlying fundamentals are unchanged and we definitely locked our position in this market. The segments operating income during the second quarter improved sequentially and year-over-year by more than 20%. These improvements were attributable to higher throughput in our Multiflex umbilicals manufacturing plants and increased sales of our specialty product particularly ROV tooling. While we had a good second quarter and we're bullish about our long-term outlook. We did not achieve an improvement in operating results to the extent we have projected and we did not grow backlog as much as we planned. We realized a lower than anticipated operating income margin during the second quarter due to higher development cost on BOP control systems and lower utilization of our IWOCS fleet. The BOP controls cost overruns were attributable to higher engineering and manufacturing cost incurred over the components with the first two systems that, we are in the process of delivering. The higher BOP control cost will be with us through the delivery of these initial systems. We'll therefore also impact our second half results. While the lower contribution from a new product line is certainly disappointing we are pleased with the progress of our capability to deliver this new product especially in the light of increasing demand for BOP controls as underscored by the new drilling rigs on order. The lower IWOCS fleet utilization was due to lower than anticipated market demand for pre-installation work order and plug and abandonment activity. And we are not projecting a significant increase in this segment of the market during the last half of the year. Additionally we are expanding our area of operations to include the UK and West Africa and the cost of establishing these service bases and training of personnel have been hired and we anticipated. On a general note we believe our sector of the greater Subsea Products market continues to be plagued with project delays and an overall lower level of activity than we would otherwise expect in a booming deepwater and subsea completion market. As evidence to this phenomenon Quest Offshore latest umbilical forecast indicates that only one third of the orders expected for 2008 as measured by length were place in the first half of the year. Our umbilical order share in the first half was about 25% inline with our average market share over the past five years. Along with a lower than excepted level of umbilical orders industry wide comes more aggressive competitive pricing on near term jobs and lower profitability on existing work because the cost associated with excess plant and labor capacity. Nevertheless based on our scheduled and expected work flow, we are projecting a substantial increase in umbilical throughput for the second half of 2008. At the end of the quarter our products backlog was $372 million and included the $40 million umbilical contract I mentioned as a letter of intent on the last call. This level of backlog represented 5% increase from the end of March. On a positive note bid activity remains at high levels due to the lack of visibility on timing and the placement of orders. We are not forecasting our Subsea Products backlog to grow during the last half of this year. Taking into consideration our overall assessment of where we are six months into 2008, and our second half outlook. We believe that while our annual operating income growth will be substantial our margins on Subsea Products sales for the year 2008 will not be higher than 2007. We do believe our margins in the second half of the year will be better than those achieved in the first half. Moving on to ROVs. Our ROV business achieved record quarterly operating income as we attained an all time high average revenue per day on higher of approximately 9950 per day sequential operating income rose nearly 10%. As we improved pricing increased vehicle days on hire our fleet utilization was 84% up 4% from the first quarter. Year-over-year operating income was over 20% higher due primarily to higher average revenue per day on hire. Year-to-date ROV operating income margin was 29% 3% better than the first of 2007 in light of this performance and an improved outlook for the second half of this year we're raising our ROV annual operating income growth range by $5 million. We now project growth in the range of $35 million to $45 million. During the quarter we added five systems to our fleet and disposed three for a net growth of two vehicles. At the end of June we had 214 systems available for operation up 12 from June a year ago. We still anticipate adding approximately 30 new systems to our fleet this year, 23 in the second half. Our fleet next year in June was 61% in drill support and 39% in construction and field maintenance was compared to 65-35 mix in March of this year and 67-33 mix in June 2007. In summary our ROV performance has been exemplary and the outlook remains very bright. As expected and discussed in our last earnings conference call our Subsea Projects business sequentially improved during the quarter due to a normal seasonal increase in demand for diving and deepwater subsea equipment installation and inspection, repair and maintenance services. Operating income increased by more than 55%. Year-over-year Subsea Projects operating income declined as expected due to a softer market for our services as a result of substantial completion of work associated with hurricane damage. During the quarter we secured a contract for the fabrication and installation of subsea hardware on Shell's ultra-deepwater Perdido Regional Development project. It's estimated that it may take a couple of years to complete our Perdido works. But one indication of a high level of future market demand for deepwater subsea installation activity in the Gulf of Mexico. Our commitment to add the Olympic Intervention IV to our vessel fleet was instrumental in our success in securing this Perdido contract. The vessel has been delivered to us in Norway on schedule and is beginning its mobilization to the Gulf of Mexico today. We still anticipate that this boat will be available for service by early in the fourth quarter of this year. As noted in the press release our Subsea Projects operating outlook for the second half of the year is to achieve results comparable to the first half. Our Inspection segment had its best quarterly performance ever. This was attributable to market demand growth and our success in securing new contracts providing more value added services and increasing pricing. Sequentially and year-over-year inspection operating income increased by nearly 25%. Sequentially inspections operating income increased primarily as a results of increased demand in the UK, which was attributable to the refinery, petrochemical plant and power station shutdowns. The year-over-year improvement was largely the result of our success in securing new contracts, with services in LNG storage and petrochemical facilities and pipeline work. And now I'm going to turn the call over to Marvin, to discuss our cash flow, capital expenditure and balance sheet.
Marvin J. Migura: Thank you, Jay. Good morning everybody. If you add depreciation back to our net income, we've generated nearly $80 million in cash flow in the second quarter, which is 13% more than the second quarter of 2007. if you add depreciation back to our operating income, you get $109 million, up 10%. So however you choose to measure our cash generation, you'll find an increase over last year's results. Capital expenditures during the quarter totaled $58 million. These investments were predominantly for upgrading and expanding our ROV fleet and our Subsea Products manufacturing facilities. Over a 90% of our investments, both during the quarter and year-to-date, have been in our ROV and the Subsea Products operations. At present, we anticipate spending about $250 million in capital expenditures in 2008. The remaining projected expenditures of approximately $100 million consist mainly of additional ROV fleet growth and organic growth investments in Subsea Products. Above and beyond this expected level of capital expenditures, we continue to look for additional accretive acquisitions and organic growth opportunities with better than cost of capital returns. Primarily we intend to use our strong cash flows and balance sheet to further grow our earnings. To the extend we do not find suitable investment options, we intend to pay down our debt. Our balance sheet remains in excellent condition. At the end of June, we had debt of $227 million and equity slightly over $1 billion. Our debt to cap percentage was 18%. Now I will turn the call back over to Jay.
T. Jay Collins: Thank you, Marvin. In summary our second quarter performance overall was in line with what we had anticipated, and we are looking forward to achieving record EPS performance in 2008 for the fifth consecutive year. Our focus on proving products and services for deepwater and subsea completions, positions us to participate in a major secular growth trend currently underway in a oil field services and products industry. Looking forward, we see specific signs of a healthy deepwater and subsea market that will drive demand growth for our services and products in 2009 and beyond. During the quarter Petrobras announced that they intend hire additional 40 new floating rigs through 2017. Transocean recently announced a five year contract commencing in 2010 on a new built rig for use in the Gulf of Mexico. And 22 rig years of contract extensions on four existing floating rigs commencing in 2009 to 2011 time period. Over 95% of the existing 2006 floating rigs in the world were under contract and over 70% of these are contracted through 2009. 100 additional floating rigs either have been or are scheduled to be delivered during 2008 through 2012 and 76 of these have been contracted long-term. During the second quarter, 21 new rig orders were placed. 12 on the strength of long-term contract award lead by Petrobras. 26 out of the commitments have been made on the contracted rigs and we have won 23 of them and we will provide 27 vehicles on these jobs. According to an international ship broker, there were about 200 Subsea support vessels under construction with anticipated delivery dates by the end of 2011. Of these we estimate that at least a 135 will likely require at least one ROV each. Based on quest, offshore latest average forecast during the next five years, subsea and production tree orders will average 630 per year, and annual demand from umbilicals will be about 3200 kilometers. These forecast represent increases of approximately 60% and a 110% respectively over the last five years. That's more than a doubling of umbilical demand. With our existing assets, we are well positioned to supply a wide range of the services and products required to support the growing deepwater exploration, development and production efforts of our customer. Further more we plan on making additional organic growth in acquisition investments to expand our ability to participate in this market. We have been successful in reinvesting our cash flow for the past several years and are well on our way to do the same in 2008. As Marvin previously mentioned that the end of June our depth to cap was 18%. And we remain committed to using our resource to continue to grow the company. We believe Oceaneering business prospects over the next several years are very promising. For 2008 we expect our net income to result in a record EPS of $3.45 to $3.65. We continue to anticipate growth in annual earnings over 2007 to be lead by operating income improvements in Subsea Products and ROV's. For the third quarter of 2008 we are projecting EPS in the range of $0.90 to a $1. Sequentially we expect quarterly operating income improvement from ROVs as we put new vehicles in service, continue to improve average pricing and increase our overall feel utilization rate. And Subsea Product on the strength of higher umbilical manufacturing plant through-put. We expect sequentially quarterly declines in profit contributions from MOPS due to the second quarter sales of the San Jacinto and Subsea Projects largely as a result of cost we will be incurring to mobilize the Olympic interventions forward to the Gulf in Mexico and completed final out fitting for service. In summary, our quarterly results continue to demonstrate our ability to generate exponential earning and cash flow. We believe our business strategy is working well for both the long and short-term. Our technology gives us operating leverage to take advantage of the high level of deepwater and subsea completion activity entirely under way. The market outlook for our deepwater and subsea services and product offerings is excellent. We continue to believe we are in one of the sweet spot to the sub cycle. We're expecting record annual earnings for the fifth consecutive year in 2008. And with escalating demands for ROVs and Subsea Product, 2009 should be even better. We appreciate your interest in Oceaneering. And we will be pleased to answer any of your questions.
Jack Jurkoshek: Nikisha? Question And Answer
Operator: [Operator Instructions]. Your first question is from the line of Jim Crandell [Lehman Brothers].
James Crandell: Good morning every one.
T. Jay Collins: Good morning, Jim.
Marvin J. Migura: Good morning, Jim.
James Crandell: Jay, there has been delays in subsea tree orders. But it seems that the delay is in umbilical order. They are much greater. Can you... I have a two fold question. One; can you give us some specifics in terms of projects that went into your forecast early in the year where you expected umbilical orders that looked to be delayed? And then give your thoughts on, why they are being delayed in each case?
T. Jay Collins: Jim we continue to try to understand the time interval between tree orders and umbilical orders, and I'm not sure that we fully understand that. I think that the tree order fairly is placed... we think earlier in the process, the umbilical order tends to be more in part of the installation process. And I guess one think that we have learnt is that the umbilical will connect all the piece of Sebsea back together. So as long as there is any design changes an issues going on about the architecture of the subsea field or who... what vessel will do the installation, people really don't want to order the umbilical. So that seems to be continuing to delay the umbilical orders longer in the stock than we would have imagined.
James Crandell: Of every project that was on the drawing board that was being planned at the beginning of the year as far as you know was still... is still out there?
T. Jay Collins: Right we do not see cancellations on our list. So the projects are still there and as I... measuring volume up our year outlook is the highest total that we've seen in the last... really ever. So we see more activity like the Quest forecast we see more activity looking out of year but we just don't have the orders yet.
James Crandell: So you just sales people on conversation with the customers, Jay, are they coming up with any reasons for the delays? I know that you decided to meet not to longer ago there was some debate about whether to go with steel with on plastic and there seems to be some other issues as well. Can you maybe expand on that?
T. Jay Collins: Well we have one example we thought it was time for an order to be placed in recent conversation with the customer, this was a month ago. They were decided to change their mind to go from thermoplastic to steel. We recently saw an order that switch from thermoplastic to steel very light in the process. So with these kinds of engineering switches going back and forth it just indicated to us that this order was not ready to be placed. That was considerable engineering and thinking going on, and at the oil company level. And until that get resolved and everybody is happy with it and how everything's going to be connected in architecture and the umbilical is not going get ordered.
James Crandell: Did you see more... could you just add a little bit of information to that even on order that we had that we have and then we were getting ready to start processing. The customer put us on hold and said they wanted to change make some slight tweaks to design and wanted to do that before we started the work. So an order that we have in backlog at the very end of June we were given hold order on. And not that they are going to change the order much but they wanted to change the design before we started doing the manufacturing. So there seems to be a lot of redesign and rethinking and continual engineering that we're experiencing that's causing some of these delays.
T. Jay Collins: Well its good point Marvin, we are aware one of our competitors that had significant order that they were about start on the project got delayed for six months. They had a significant hold in there in their factory and they became much more aggressive bidder.
James Crandell: Jay and Marvin, is there a geographic focus or commonality on some of the projects that are delayed, which I was making with the any... specifically any you are manufacturing facilities run much less efficiency because of lower utilization now?
T. Jay Collins: I don't think so, Jim, we have seen both in Brazil and the Gulf of Mexico and West Africa I think that's occurring all over the world.
James Crandell: Okay, last question and just a switch to the ROV side for a final question. Your utilization was up from 80% to 84% in ROVs this quarter which has improved but still. Probably bit less than you expected going into the quarter but little bit less than I expected. I know the reason for the drop in the first quarter related to slower ramp up in some construction projects in the Gulf and the North Sea, what do you attribute the second quarter to?
Marvin J. Migura: I think some of that slow start up of construction market in the Gulf of Mexico certainly occurred in the start of the second quarter as well. Other then that I think we're just around the world getting in position is the only other thing I have to put forth.
James Crandell: And would you look for it the utilization part to improve towards the say last year's second half levels of utilization in the second half of this year.
Marvin J. Migura: I think we do, Jay.
T. Jay Collins: Yes.
Marvin J. Migura: That would be our expectation
James Crandell: Okay, thank you very much.
Marvin J. Migura: You bet.
T. Jay Collins: Thanks.
Operator: Your next question comes from the line of Neil Dingmann [Dahlman Rose].
Neil Dingmann: Good morning, guys.
Unidentified Company Representative: Good morning Neil.
Neil Dingmann: Just on your looking Jay in your comment on the Subsea Project as far the margins now being I guess rather flat or may be down a touch versus last year. Is that just because of the delays you are seeing or could you may be give a bit of color on that I am still little surprised even if we do see delays that margins would still not creep up just a bit.
T. Jay Collins: I am sorry Neil, are you talking about the products business.
Neil Dingmann: Correct.
T. Jay Collins: I think our margins really relate to the BOP business that we talked about, the excess cost that we are having in developing this new product line. And that will continue during the second part of the year. These cost on the BOP really relate to engineering and manufacturing cost overruns that we had occurred and will occur as we complete the component for these first two systems. That we're delivering this year, just about the excess engineering rework that we had to do on engineering and manufacturing. And couple of cost vendor mistakes that we incurred. Simply stating we just should have done a better job estimating and executing on these projects. We do expect a profitability on remaining two systems that we have in our backlog that we'll deliver next year to profitability to prove substantially. The other issue is our IWOCS business where we said we had lot lower utilization; we started out slow for the year, in the first quarter April and May looked like things were improving and then June was below our expectations. As we looked hard into our forecast we concluded that we are going to stay below... before our projected utilization for the whole year. Really we've seen flat drilling activities in the Gulf of Mexico this year. And I think we are too optimistic in our expectations for that business.
Neil Dingmann: Okay.
T. Jay Collins: That hopefully that answers that for you.
Neil Dingmann: That's very clear thanks and then on the Subsea Projects was wondering are you wanting down now as far as hurricane related works is that sort of winding down and to go along with that. Your comments as far as what you have seen on the products side the highest I think you said the highest outlook ever released for a year out. Are you seeing some large orders further out on this type of business as well.
T. Jay Collins: As of in the Perdido contract we really aren't seeing far out long term, it seems to be a relatively short terms basis six months in advance, I think about as far as we booked much work and we are not doing I am not aware much hurricane work that we are doing at the moment I think we are pretty much through with most of that a little bit continuing to go on. And we are certainly seeing lot more competition and just general reduction of activity in the Gulf of Mexico about diving and projects side in the first of this year.
Neil Dingmann: Okay, if I could just slip one... last one as far as on the ROVs you foresee I guess lets say the next 12 to 18 months as far as the number that you are continue to turn out about the same as what its been?
T. Jay Collins: That's correct I don't see real change we are continued to build our leases at about the same pace. That we have been I think we've been we said we are going to put 30 units to work this year and will have some retirements and we're continuing to build obviously for this year and for next year. So we actually next year is very strong year for rig... new rigs going to work.
Marvin J. Migura: Yes, I said I think the same annual rig we really are back end loaded for this year with 23 expected of the 30 in the second half.
Neil Dingmann: Okay. Again is those newer ones I guess that the 23 would come on and what type of rate on those I guess is it fair to say all ROVs across the board getting around the same rate or is that not necessarily the case?
Marvin J. Migura: The others quite, I think every unit is priced differently, each one has different characteristics tooling water depth and perhaps you going to lead the terms so I think they all differences in all of them.
T. Jay Collins: And all we are going to say Neil, is it will be reflected in the day rate that we give out quarterly.
Neil Dingmann: Okay. Perfect thanks guys.
T. Jay Collins: You bet.
Operator: The next question comes from the line of Mark Thomas [ph].
Unidentified Analyst: Good morning guys.
Unidentified Company Representative: Good morning.
Unidentified Analyst: Jay, can you just talk about the worldwide manufacturing capacity for on umbilicals today and may be compare that two or three years ago?
T. Jay Collins: Oh it's only for Oceaneering we have ramped up our ability to compete in this deal through business with our new factory in Panama City compared to three years ago. So that was the main reason for building that plant. We have expanded our capability in the North Sea about 50% increase in capacity and that facility increased our capability to do smaller steel tube jobs in that facility as well as increased our capacity in Brazil. So we think we are much better able to compete today across the range of the market both thermoplastic and steel than we were three years ago. We like the capability of our all that plants is improving significantly every, every quarter and we do find ourselves though in the market that is always supplied with capacity at the moment even as the lack of worldwide orders that we've seen in the last 18 months. So there is pretty heavy competition for orders.
Unidentified Analyst: Capacity growing continues to grow there today.
T. Jay Collins: I haven't really seen any recent addition to that capacity but you know hopefully you won't see any.
Unidentified Analyst: Okay. Thanks. And then you mentioned total shift in preference between steel umbilicals versus thermoplastic a customer look at making a decision for steel versus thermoplastic?
T. Jay Collins: Often we stick first our steel is generally more expensive. So we mostly likely be used in deepwater where people are concerned about crushing of thermoplastic tubes or the making sure that the methanol injected in the well is not escaping into the ocean floor and also for the length the longer you get out the more would need steel tube.
Unidentified Analyst: Okay and then how much of your capacity is for steel versus thermoplastic are getting switched?
T. Jay Collins: You really cant split like that. Our plants can do... Paramount city [ph] can do both all of our plants can do both to varied degrees, so it's kind of hard to split it out like that.
Unidentified Analyst: And last question just turning to the Subsea Projects Group the contract sound good for the Shell's Perdido Development and just to make sure I heard you right did you say the contract will last two to three years to complete?
T. Jay Collins: Right we are not going to be... we are not working everyday on that but the Perdido is a big hub development if you know from me what that project its about 200 miles south of Freeport in about 8000 feet of water and the first phase we'll have 17 subsea wells produced over time and there may be a phase after that. So we will work on the thing off and on over the next couple of years and then perhaps even longer. So it's not a continuous front... a day after day after day after day contract, but it is a big field development that will go on for quite some time.
Unidentified Analyst: And does that contract compare to have vessels on stand by?
Marvin J. Migura: No.
T. Jay Collins: No.
Unidentified Analyst: Okay.
T. Jay Collins: We are installing the jumpers--
Marvin J. Migura: As scheduled and as agreed.
T. Jay Collins: Right.
Unidentified Analyst: Okay. great. Thanks guys.
T. Jay Collins: You bet.
Operator: Your next question is from the line of Stephen Gengaro [Jefferies and Company].
Stephen Gengaro: Thanks. Good morning gentlemen.
T. Jay Collins: Morning Stephan.
Stephen Gengaro: The question is really on the pricing and the market share side for the umbilicals. And when... you gave market share data for the year, or at least your believe where your market share stands. Are you... when you say is kind of pricing competition, how bad is it? I mean are you I know there is not as much workout there right now than people thought. Are you seeing kind of material price erosion? And how should we think that impacting margins if at all?
T. Jay Collins: I think it's staring in unpredictable, which makes it difficult to bid in this market. As I mentioned earlier we saw one of competitor we think has a significant hold in their production capacity and they can grow aggressive in the market to fill that capacity.
Marvin J. Migura: So... yes we're not going to give that bidding numbers and certainly not across board on every job. But if those party and it depend on what's going on in everybody's plan around the world. But people are not full and they have holds in their plans. We can see some pretty aggressive bidding.
Stephen Gengaro: There was some news out yesterday that... this part of the block everyone job to Acer [ph] do you have any comments on pricing at job or whether you were involved?
T. Jay Collins: No, we knew a year ago that job would likely go [indiscernible]. They had done block-18 for BP along with DUCO. So that was not really on our target list and... so no comment on that.
Stephen Gengaro: Okay. And then finally as you look at the balance of this year and I know you've given your kind of ranges. Are there areas where we could kind of think about U.S. being more and less concerned. I mean I imagine you're playing more comfortable on the ROV side and still a little uncertain on the product side. Is that a fair conclusion as far as the variable we are looking at?
T. Jay Collins: I think clearly the ROV business has less variation and clearly we are able to predict the results in this business much more closely. In the product business not only are we doing some new thing like the POP controls business. But we are subject to the timing of the orders in the marketplace. So I think that produces more uncertainty and I guess that's where we are trying to make sure today that we provide you with best information that we have going forward for the second half of the year.
Stephen Gengaro: Okay. Now that's helpful. Thank you.
T. Jay Collins: You bet.
Operator: Your next question is from the line of Joe Gibney [Capital One Southcoast].
Joe Gibney: Morning everybody.
T. Jay Collins: Good morning, Joe.
Marvin J. Migura: Good morning, Joe.
Joe Gibney: Most of my question have been answered. Just wanted to touch a little bit on the inspection side, wasn't sure I didn't hear that in you commentary relative to outlook for that business in the back half of the year. You see strength in U.K, just a little bit color will be helpful. And also curious on the project side, seeing the Olympic intervention for secured for positives. Just curious if you guys would look at additional deepwater chartered vessels, given the strength in the deepwater intervention out side some of the typically seasonality you see in the project side, appreciate it.
T. Jay Collins: Let me take a back one, we don't have any plans at the moment to charter any more vessels. With this new vessel coming really later this month, we think that will really give us just what we need in the Gulf of Mexico. So we are not planning to charter any more vessels. With regard to the inspection, clearly this has been a very good success for us. And operate has really been a very steady business. But staidly going up. So we think... I don't look for that business for this year and for next year is excellent. So we liked that business and we are very proud of the success that it has.
Marvin J. Migura: And I do want to remind you Joe, and remind everybody that in the fourth quarter we usually get some... not usually, we always get some seasonality in the U.K. work. So I think we've had some pull through work. We have worked out moves from the third quarter into the second quarter this year in inspection. And just do want to remind you that we usually have some seasonality in the fourth quarter.
Joe Gibney: Okay, that's helpful. Thank you. I'll turn it back.
T. Jay Collins: Okay.
Operator: Your next question is from the line of Victor Marchon [RBC Capital Markets].
Victor Marchon: Thank you, and good morning everyone.
T. Jay Collins: Good morning Victor
Victor Marchon: the first question I have is just on the ROV mix, you've seen a pretty steady increase for the construction and field maintenance work for the ROVs over the last year. I just want to get your sense as you look at the new equipment that has come into the market over the next two to three year does that mix shifts start moving higher back towards a drill support piece? Or is there a sort of 61/39 split some thing that's going to be pretty consistent going forward?
Marvin J. Migura: I guess we have been surprised really at the strength of construction market over the last three year, since the drilling market started moving up. And with the 200 vessels that on order out there. We think that mix is likely to stay about the same, started in the range of two third, one third. We see plenty of opportunity on the vessel side just like in our own business where we brought in two big North Sea vessel and each one has ROVs on board, we're seeing that kind of opportunity in the North Sea and in West Africa. So I think even as the rig... and we see this rig coming forward, we will see a continued proportional growth in the construction vessel side.
Victor Marchon: How would we look at that as it relates to pricing or average revenue per day, because typically if memory serves the revenue per day for the construction work it's harder and drill support. But many be a little bit less utilization. Is that a fair assessment?
T. Jay Collins: You got a good memory, that's exactly right. We will have a bigger crew on our construction project instead of a three man... on drill support we'll usually have a three man crew with occasionally a fourth person going on the construction project. We may very well have a six man crew or even more. So we usually price a little higher but have a little more maintenance on that type work. So our revenue per day will be higher. But we'll also have more dead time and lower utilization for the year. But at the end of the year we look back in the revenue and profits we have made on either type job is very similar. So I think, you shouldn't make too much distinction there.
Victor Marchon: Okay. And last question, I was as it relates to Brazil and touch roscoe [ph] and you guys positioning both in ROV and umbilical side. Have you seen any change in the competitive environment in Brazil, what it relates to the ROVs or on the umbilical side?
T. Jay Collins: On the umbilical side one of our competitors the Prismium [ph] owned by Goldman Sacs has built a new umbilical factory over there in the last two years. So that probably if you know we change on the competitive side. On the ROV side we have see no change. We have slight amount of largest market share about a third of the market the Subsea 7 closed behind us. So we think that we have made no change in that market.
Victor Marchon: Okay.
T. Jay Collins: We like to do marketing and we intend to do as much as the Petrobras work as possible.
Victor Marchon: Okay. So the region... you region market share for both businesses shouldn't really change on much going forward?
T. Jay Collins: No, I wouldn't think so.
Victor Marchon: Okay, great. That's all I had. Thank you.
T. Jay Collins: You bet.
Operator: Your next question is from the line of Byron Pope [Tudor Pickering Holt].
Byron Pope: Good morning guys.
T. Jay Collins: Good morning Byron.
Marvin J. Migura: Good morning.
Byron Pope: Question about the Subsea Products segment and I'm trying to think through... so we've got pricing issues, we've got some cost issues and relating to the Subsea BOP control systems. As we look further out into 2009 and 2010 if you want. But is there any thing structurally going on with the mix where overtime you sit and see operating margins in that segment gravitate back up to the high teens where you were? Call it several quarters ago?
T. Jay Collins: No. I think we are just hoping that more of these orders get placed and our capacity gets filled up they were able to increase the pricing in the industry that's what really used to happen.
Marvin J. Migura: I think fundamentally nothing is occurring that changes our positioned as Jay said in the beginning we like our position in the Subsea products market.
T. Jay Collins: Yes.
Byron Pope: And then just related to the BOP control system contacts. I think Jay I heard you mentioned four I know doing two for the front tier drill ships are there... are the other two with us same customer? And do you potential have kind of re-work issue with other two or are most of those issue going be resolved as get through back half of the year. it sounding like you were suggesting that we--
T. Jay Collins: We believe... we think these issues are our 2008 issues and not related really to our projects in 2009. So we look confident in possibility on these project for next year we look pretty significantly
Byron Pope: Okay. Thanks.
Operator: You're next question is from the line of Philip Dodge [Stanford Financial Group].
Philip Dodge: Good morning and thanks for the comments. Let me ask a question about capacity to respond if there is any hurricane damage this year compared to what it was in 2005. Not the amount of damage, but you have available if work needs to be done?
Marvin J. Migura: Well, I think we have more capacity now then we did then. So if there was another significant set of hurricanes like we had before I think we would have even more assets to bring to on the problem were they two big North Sea vessels that we brought in one last year and one coming here this month in September. We didn't have those before.
Philip Dodge: So that's the main difference between now and three years ago.
Marvin J. Migura: Yes, we did add... we did build additional saturation diving system and we did bring vessel in from not a oil field performer after hurricane's and it been working in the oil field for the last two years. So I think we definitely have the additional vessels and additional start system that we bring to bare on a problem.
Philip Dodge: Okay and than is one another thing on the ROV expansion just to make sure that I understand you said that you would move forward at about the same rate but is that the 23 in the second half of 2008 or the 30 for the full year?
T. Jay Collins: No I think sort of annual number.
Philip Dodge: Okay just want to make sure
T. Jay Collins: Don't overload us there.
Philip Dodge: Okay. Thanks a lot.
Operator: The next question is from the line of Waqar Syed [Tristone Capital].
Waqar Syed: Good morning.
Unidentified Company Representative: Good morning.
Waqar Syed: Could you provide us revenue split between OII and Mutiflex in Subsea Products area.
T. Jay Collins: We don't give that out on a core, we are not going to give that out quarterly. Over the last few years it's been a 60/40 split we start giving up quarterly
Marvin J. Migura: We do recognize that that's important but you have to appreciate that the umbilical business is a little lumpy and we don't people thinking that it's a permanent mix, so I think if you like at it 60/40 or if you look at it broadly at one-third, two thirds we haven't seen much variation from that so I think, Jack's answer of 60/40 is right way to go.
Waqar Syed: Okay and then on the BOP control systems that the cost issue that you have are you recognizing the cost as you go or are the cost those cost issues going to be recognized when the units are delivered.
Marvin J. Migura: The answer to the absolute answer to that is yes. We have recognized the cost as we go because we recognize them as a components or so there are some costs for components that aren't finished that Jay indicated is going to effect us in the second half of the year but it has been and as you go on delivery of components we are not waiting for the entire system to be delivered but as the components are complete we've recognized the cost and revenue associated with that.
T. Jay Collins: Because those are discrete components.
Waqar Syed: Okay. I got in the call a little bit late but I did hear correctly that you mentioned that backlog on the product side is likely to remain flat for the remainder for the year?
Marvin J. Migura: I think we said it will not.
T. Jay Collins: We are not forecasting an increase it's a lumpy situation difficult we finding it difficult to predict this backlog.
Waqar Syed: Okay. So if you go a step forward if the backlog remains flat what does that mean for revenues in '09 on the Multiflex side?
T. Jay Collins: Well let me say that once you take '09 as a general issue certainly we expect '09 to be another growth year a sixth record year of profits for us. We aren't giving guidance out now and we will give guidance at our conference call at the end of the third quarter. Just reiterate the things we have talked about so far in the call really we like primarily to 2008 with having very little effect on 2009. We did say earlier that we expect significant more throughput through our Multiflex umbilical into our products business in this second of '09. So I think that sets us up very well I mean '08 second half of '08 that set us up very well for '09 going forward.
Waqar Syed: But for the revenue the Multiflex side to increase in '09 the backlog has to increase in the next six months. Would that be a fair statement?
Marvin J. Migura: I'll say we are expecting increase revenue in Multiflex for the second half of this year based on the backlog that we have now, maintaining that same level of backlog and continuing that same level of work replacing that backlog on in '09 would give continued growth in '09 even at the same level of backlog. But... does that makes sense to you?
Waqar Syed: Yes. Okay. That's all from me thank you.
T. Jay Collins: Thank you.
Operator: Your next question from the line of Michael Marino [ph].
Unidentified Analyst: Good morning Jay.
T. Jay Collins: Good morning.
Unidentified Analyst: Jay, if I could fallow up on that last question, just a little bit broader terms. What do you think the inherit growth rate is within products from an operating income standpoint? I mean this year even with the lower guidance it's still above 20%. But should we see a reacceleration in 2009 and 2010? I guess it's a matter of the orders come but a soon a s the orders come were can--
T. Jay Collins: I think I m going to... have to pass on that question Mike and we will wait till our Q3 when we give guidance for... let us do our budget for '09 and like I say 19% growth for the year if we achieve our mid point, we are certainly not embarrassed by that. Although we are certainly disappointed that we didn't achieve the home run that we thought we could potentially achieve for this year. Let us do our budget and we will give you some more information if into the next quarter.
Unidentified Analyst: Is it fair to say that if the orders come the growth rate will expand from here?
T. Jay Collins: We certainly have capacity to do more... to do a lot more work. So I think that's a fair assumption.
Unidentified Analyst: Okay. And in... another question I wanted to see if I could get you to comment on. Some comments made by TechLeap [ph] this morning, they mentioned that the Subsea looks like one that needed to be consolidated and they were interesting playing a role. And I was wondering is there a part of your business that may be you don't want? Or is there a parts that you want to grow? Which parts are you looking more growing and which--
T. Jay Collins: There is really part of our business that we don't want. We like the business that we are in. We are really trying to grow almost all part of our business. So, we are looking for acquisition all the time. And would be interested in making... you can see the acquisitions we have made, that's primarily been in the products business in the last two years. So that's the area of real focus for us is to continue to grow this products area with products and services that to Subsea. I think that's our... well we have interested ROV acquisitions. But there are limited number of players out there left for us to acquire. We continue to look for a project to use our vessel in most business and we look to find project for that vessel. Inspection business we have made an acquisition last year in inspection business continue to looking for smaller inspection company around the world that we can add to. I think we are trying to grow virtually all of our business, maybe that's a good answer to your question.
Unidentified Analyst: Okay, great. Thanks Jay for the color.
T. Jay Collins: You bet.
Operator: [Operator Instructions]. We have follow up question from Stephan Gengaro.
Stephen Gengaro: Thanks. Just two quick once, one I missed the question that Jack you responded 60, 40 on the spread I assume that was the same filed on thermal plastics?
T. Jay Collins: No, that was related to the question if we could... any new information about the relative side of Multiflex versus OIE revenue. And we've said okay, well we don't give that out by segment. And generally think about Multiflex being here 40% and the rest of it OIE been 60% as a split for that sector in general terms. That was the answer of that question.
Stephen Gengaro: Okay, great. That helps. And then just as a... and I'm going back to this price question. But when... when you are looking at these umbilicals project awards. Are you thinking... are you more worried right now about building the backlogs? Or you... so are you... would you give up some price to build backlog or would you hold the firm on price and let the job by. How do you balance that in this market right no.
T. Jay Collins: We had those page every day around here. And I really can't give you our bidding strategy. I am sorry about that. But it's a good question. It's a very interesting question.
Marvin J. Migura: Steven and it does vary a job-by-job. We have created very day and location and out look.
T. Jay Collins: That's right.
Stephen Gengaro: That help us to take you out of the margins.
T. Jay Collins: No.
Marvin J. Migura: No.
Stephen Gengaro: Okay. Thank you for your help.
T. Jay Collins: You bet.
Operator: There are no further questions.
T. Jay Collins: Alright. Well thank you very much. We appreciate your attendance on our call. Thank you all guys.
Marvin J. Migura: Thank you guy.
Operator: This concludes today's conference call. You may now disconnect.